Operator: Welcome to the IAMGOLD 2016 First Quarter Operating and Financial Results Conference Call. As a reminder, all participants are in listen only mode. And the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Mr. Bob Tait, Vice President, Investor Relations. Please go ahead.
Bob Tait: Good morning and welcome to our conference call. Joining me on the call today are Steve Letwin, President and CEO of IAMGOLD; Gord Stothart, Executive Vice President and Chief Operating Officer; Carol Banducci, Executive Vice President and Chief Financial Officer; Craig MacDougall, Senior Vice President, Exploration; and Jeff Snow, General Counsel and Senior Vice President, Business Development. Our remarks on this call will include forward-looking statements. Please refer to the cautionary language regarding forward-looking information in our disclosure documents, and be advised that the same cautionary language applies to our remarks during the call. The slides that are referred to, during the presentation, can be viewed on our website. I’ll now turn the call over to President and CEO, Steve Letwin.
Steve Letwin: Thank you very much Bob, and good morning everyone. Well, as you can see from our press release, we had a very strong start to the year, significant improvement to the bottom line, a 90% increase in net operating cash flow from continuing operations and an ever improving cost structure. At our Essakane mine, throughput was up 9% year-over-year as productivity and operating efficiency continue to improve. All-in sustaining costs are expected to move lower in the second half of the year. And we’re looking at moving ahead with a 15-megawatt solar power plant that will help reduce energy costs in the future. And just a reminder that the building and construction of that solar power plant will require no capital on our behalf. At Rosebel, the outlook is looking more positive all the time; we’ve had excellent meetings with the Suriname’s government and we’re continuing to make progress and securing other sources of soft rock in and around the Rosebel operation. The site has been working hard to optimize performance and reduce costs and has done some great work. All-in sustaining costs fell 8% to $955 announce in the quarter. Westwood is making excellent progress with the revised ramp up plan. The rate of underground development is on target. Good grade reconciliation and production higher than we thought it would be. Gord will provide an update later in this presentation. We expect to ramp up to full production in 2019. Our view that Westwood will be our lowest cost operation with at least a 20-year mine life is not changed. At Sadiola, milling is expected to continue in 2018. Sadiola has been in production, as you know, for 18 years. It owes us absolutely nothing. But, if could mine the hard rock, which as you know we have been quite optimistic in our plans about doing, we’d be able to extend the mine for another 10 years. With the upturn in the gold price, some very solid technical discussions with Anglo in terms of reduced capital outlay, the future expansion looks a lot more promising. Our financial position is very strong. With total available liquidity of $800 million, we have the flexibility to invest in profitable growth opportunities in the future. With that, I’ll turn it over to Carol for a look at our financial results.
Carol Banducci: Thanks, Steve and good morning, everyone. We had a strong quarter with financial results showing considerable improvement over the previous year. Our financial condition remains strong. As of March 31, 2016, cash, cash equivalents and restricted cash were $658 million as shown on the far right of the slide. Included in cash flow activity throughout the quarter were a number of investing and financing transactions that strengthened our cash position. With the higher gold price in the first quarter, we sold our investment in gold bullion at an average price of $1,260 ounce. The after tax proceeds of $170 million represented a $27 million increase from the market value at the end of December. The $73 million gain over book value represented a 75% return on investment and was recorded in investment gains. We paid down our short-term debt of $70 million; we raised $30 million through the issuance of 12 million flow-through shares, which will be used to fund approximately half of the qualifying development expenditures at Westwood this year. We also secured a new credit facility earlier this year; and last week, we announced that Ressources Québec has joined the facility with a commitment of $38 million. This brings the amount of funds available in the credit facility to $138 million with the potential to increase the total to $250 million. So, together with our cash, total available liquidity is $800 million. Revenue from continuing operations in the first quarter 2016 were $220 million. The decline over last year was due to lower gold sales and a 3% drop in the gold price. The lower gold sales were mainly due to lower grades at Rosebel and lower sales at Westwood as it operates under a revised ramp up plan. Essakane gold sales were up 5%. Costs of sales in the first quarter were down 8% from the same quarter 2015. This was due to 11% decline in operating costs and smaller declines in depreciation and royalties, year-over-year. Rosebel accounted for more than half of the improvement with the operating cost down 16%. This reflected a number of factors: Lower fuel prices; lower labor cost following the work force reduction; and the devaluation of the Suriname’s dollar relative to the U.S. dollar. Westwood operating costs were down 27% due to limited mining activity with the shift to underground development this year. The lower operating costs at Westwood also reflect a stronger U.S. dollar relative to the Canadian dollar. In addition to these factors, all of the sites have had success with productivity improvement initiatives. Net cash from operating activities from continuing operations in the first quarter 2016 increased by 90% year-over-year to $51 million. Before changes in working capital, net cash from operating activities was $50 million or $0.13 a share. Reported net earnings from continuing operations in the first quarter 2016 were $53 million compared to a net loss of $16.5 million in the same period in 2015. Included in Q1 ‘16 was the $73 million gain on the sale of the gold bullion. Adjusting for this, along with the normalization of Westwood’s costs and other items not indicative of our core business, we had a net loss of $7.3 million or $0.02 a share, which compares favorably to an adjusted net loss of $0.08 a share in the previous year. The outlook for the rest of the year is positive. Our financial strategy will continue to emphasize conservative cash management and initiatives to increase operating margins. I’ll now turn it over to Gord for a review of our operating results.
Gord Stothart: Thank you, Carol. Good morning, everybody. Not to set a precedent but I’m going to focus a little more on Westwood in my comment this quarter versus the other operations, as I’m sure most of you are interested in how we’re doing with the underground development and our revised ramp up plan. On a consolidated basis, we produced 191,000 attributable ounces of gold in the first quarter. Total cash costs were $746 a ounce and all-in sustaining costs $1,084 an ounce. We continue to normalize costs at Westwood in light of the low of production and the focus on underground development this year. At the consolidated level, this reduced both cash costs and AISC by $32 an ounce. In the second quarter, we expect production to be a bit lower due to seasonal factors, but to pick up in the second half of the year. We maintain our 2016 guidance for production of between 770,000 and 800,000 ounces of gold and AISC of between $1,000 and $1,100 an ounce. Essakane has set the bar high, coming off two years of record production. Attributable production of 88,000 ounces in the first quarter was down slightly from a year ago, as lower grades were partially offset by higher throughput and recoveries. The 9% increase in mill throughput reflects improvements in drilling and blasting, optimization of the grinding circuit and the use of blended ore to achieve stable feed. Total cash costs were below $700 an ounce in the quarter, reflecting lower fuel prices, a stronger U.S. dollar relative to euro and improved plant performance. While all-in sustaining costs reflected an increase in capitalized waste striping in the quarter, they should move closer to $900 an ounce in the second half of the year. The commissioning of an intensive leach reactor in the gravity circuit and the carbon fines incinerator, in the third quarter will further enhance operational performance. Looking at Rosebel, attributable production was 68,000 ounces in the first quarter, down from the previous year. Lower grades and lower throughput due to our higher proportion of hard rock were the main reasons. Rosebel’s all-in sustaining costs of $955 an ounce were down 8% from last year. Lower fuel costs, lower labor costs following the workforce reduction last year and devaluation of the U.S. Suriname’s dollar were primary factors, as well haul truck and loading unit productivity has improved. We’re shifting towards more technology based processes such as high precision definition and drilling blasts and higher precision GPS loading unit control, as well as the commissioning of a new flex power drive for the SAG mill to increase the grinding capacity for hard rock. And by the end of the year, we’ll complete the installation of a secondary crusher to mitigate throughput impacts as we move to a higher proportion of fresh rock. Turning to Westwood, we continue to execute on the reduced production plan as we described in our January presentation, as we focus on development work and opening up new sectors. In the first quarter, production from the planned mining blocks was on track with lower dilution and better grades than expected. Underground development to open up access to new mining sectors is on target, and I’ll walk you through some of the key benchmarks in a movement, so you can see how we’re tracking. Rehabilitation work related to the opening of the 104 mining block is progressing well with the completion of the first of the five bypass strips. The bypass strips will allow for improved operational efficiency and better access to the production lenses that were temporarily cut off by the seismic incident last year. As per plan, we don’t expect to commence production mining there until early 2017. I’ll add that the results of an inspection of the two most damaged drifts were encouraging with ground conditions as expected, better. Slide 16 shows how we are doing relative to some key benchmarks. Safety performance has been excellent with no lost time incidence or injuries year-to-date. We achieved 6,200 meters of combined lateral and vertical underground development in the first three months of the year. Lateral development is averaging 61 meters a day at a development rate of nine meters per day per jumble crew [ph] which is 11% better than planned. Development of track drifts continues in accordance with our revised ramp up plan, and vertical development rates have picked up to planned rates in the last couple of months. Our diamond drilling program continues to focus on infill drilling to convert confirmed [ph] resources to indicated. As with our other operations, Westwood continues to work at improving operating efficiency and productivity. Next year, we should be able to significantly increase production due to better grades. Further out, we expect to ramp up the full production of between 180,000 and 200,000 ounces per year by 2019. Long-term profile for Westwood is very attractive with a minimum 20-year mine life, superior grades relative to other mines and unit production costs that are expected to be the lowest of any of our operations. Notwithstanding the Sadiola is producing at the same level as last year, their cash costs and all-in sustaining costs were down 10% for the same quarter a year ago. In addition to improvements to mill throughput, the lower cost of fuel and other consumables, lower contractor costs and favorable FX rates were contributing factors. Milling at Sadiola will continue into 2018 and technical and economic studies for the sulphide expansion project continue to be updated as we work together with our partners at AGA to find a path forward. So that completes the operations review. Craig will now give an update on exploration.
Craig MacDougall: Thank you, Gord. And good morning, everyone. Please note that the exploration results I’ll be referring to have been previously disclosed in accordance with securities regulation and signed off by the qualified persons within the Company reporting them. Before I get into the quarterly review, I want to emphasize that despite a 68% reduction in exploration spending since 2012, we have upgraded over 9 million ounces to an indicated category at our mine sites and advanced projects. We have announced three Greenfield discoveries that have added nearly 1.7 million indicated ounces and a further 1.9 million inferred ounces of gold, and we have increased resources at that the Côté Gold project by 2.6 million ounces. We continue to drive our programs to achieve more with less, and I want to acknowledge the outstanding efforts of our team and our partners. Our budget for exploration and technical studies this year is $47 million. In the first quarter, we spent $10 million, directed more or less equally to near mine Brownfield and advanced Greenfield programs. At our Boto Gold project in Senegal, we’re advancing the technical and environmental studies necessary for an economic valuation of the project. In April, we commenced the diamond drilling program on the Malikoundi deposit, and the main objective is to test for potentially higher grade extensions at depth. AT Pitangui in Brazil, we’re testing targets that have potential to expand the current deposit, where they could lead to the discovery of new zones. We completed approximately 2,200 meters of drilling in the first quarter to test targets along strike to the southeast of the São Sebastião deposit. Drilling so far confirms the presence of rock units similar to those hosting the main deposit. This is a positive indicator as it confirms we’re exploring in the favorable sequence of rocks, which could potentially host additional mineralization. Having declared an initial resource for the new Diakha discovery at the Siribaya project in Mali at the end of last year, we’re now focused on increasing confidence in the current resources and expanding the mineralization along strike and at depth. This year, we are planning nearly 14,000 meters of diamond and reverse circulation drilling of which 1,000 meters was completed in the first quarter. Diakha is a promising new discovery with multiple zones of mineralization open in all directions. At the Eastern Borosi in Nicaragua, approximately 650 meters of diamond drilling was completed in the first quarter as part of a 5,500-meter program to test selected gold-silver vein systems highlighted from our previous programs. High priority targets include the parallel trending Guapinol and Vancouver veins and the Blag vein system. From last year’s program, the Blag vein system has produced some of the best results to date. This project has grade potential to host multiple zones of high grade gold and silver mineralization. At Monster Lake in Quebec, we announced final drilling results from the 2015 drilling program, highlights included 2.8 meters grading 9.1 grams per tonne gold, which included 0.5 meter 48.9 grams gold per tonne. The winter drilling program totaling more than 7,000 meters was completed during the quarter, testing targets to the north and south of the main 325-Megane zone. Assay results from this program are pending and are expected to be reported in the current quarter. Located in Northwestern in Quebec, the Nelligan project, which we’ve been working on since late 2014, is held under an earn-in option to Joint Venture with Vanstar Mining. Initial results from our recently completed winter drilling program indicate the presence of a new zone of mineralization, which coincides with an induced polarization anomaly immediately north of previously known zones. Initial reported assay results included 35.8 meters grading 9.1 grams per tonne gold, which included a higher grade interval of 18 meters grading 3.2 grams per tonne gold. Further assay results are expected during the current quarter. All of our projects are moving forward at a good pace and we continue to look forward to strong results from our ongoing 2016 program. With that, I’ll hand you back to Steve to wrap up.
Steve Letwin: Thanks Craig. Well, as you can see our outlook continues to be very positive, we have a very strong balance sheet, a stable production profile and an improving cost structure. As Gord described, Westwood ramp up is on track, productivity is improving at Essakane and Rosebel, and we are continuing to make progress in securing other sources of soft rock in and around Rosebel operation. Sadiola presents an excellent organic growth opportunity and exploration results have been very encouraging. While the opportunity cost of holding gold is low and supports a higher price, as I have said many, many times, our focus will continue to be on improving operating margins and economic returns. And we will run this Company as if the gold price is lower as opposed to higher. Thank you very much.
Operator: We will now begin the question-and-answer session. [Operator Instruction] The first question comes from Dan Rollins with RBC Capital Markets. Please go ahead.
Dan Rollins: Gord, I was wondering if you might be able to cover off a couple operational aspects for us. Just at Essakane, with the new solder facility, what type of savings on a per unit basis -- tonne basis do you expect to see, once you are in production, if the current oil price were to be maintained?
Gord Stothart: At current oil prices, I would expect we are probably going to see $0.02 to $0.03 per kilowatt hour. It is more or less breakeven at the bottom end of the oil price cycle that we saw a couple of months ago, and obviously it represents significant savings against the prices we saw a few years ago. As Steve mentioned, when we have final approval for this project to move ahead, it involves zero capital for ourselves. So, it provides some nice stability, allows us to continue to operate in an environmentally secure manner and provides us a lot of stability against future volatility in the oil price, going out. The other opportunity it presents for us is if we are able to continue beyond the currently approved LOM future resources, would see a significantly lower price for the power. So, on our all-in basis, we are talking about 10% to 15% of the total power drop, but with an opportunity to expand that little bit.
Steve Letwin: It’s a fantastic project, Dan. I can’t tell you how I excited I’m about it. Our 5-megawatt down in Suriname is working extremely well. And usually you have to pay as you probably know, about $2 million a megawatt. So, this is basically $30 million program that we do not have to fund. And the all-in costs are below our diesel costs, even at the lower crude price. So, it is a fantastic project for us. Obviously it has great environmental application and upside. And from a cost standpoint, it is a significant improvement for us. And I think as we go forward and you are seeing the change in technology occurring at a rapid rate, once we get the installation in place, and we’re looking at these new batteries that are being developed to store power off solar grid, this will change the game for Essakane and extends its mine life, I would say materially.
Dan Rollins: Okay. So, this really is not going to have a huge impact on your unit cost right now, but it really protects you going forward in energy environment?
Steve Letwin: Yes. That’s a good description.
Dan Rollins: And then may be just moving on to Rosebel, obviously the -- I was actually caught off hard by the significant devaluation of the Suriname dollar, given they had usually pegged it and would take it down every -- seems like every election they’d reset the bar, but they’ve really led it float now. Do you expect to see further benefits from the weakening currency there or are you seeing inflationaries build in that country, just given its reliance on imports?
Gord Stothart: We have seen some shorter term benefits but there certainly has been a significant inflation impact for the people in Suriname. It’s mostly an import based economy and most of their imports come from the U.S. So, we have seen some benefit, we want to temper it. We’re really going after other things like productivity improvements and better efficiencies to generate the savings. I mean we’re happy to take what we have, but I do want to temper it. But, it’s a bit of a challenging situation there for the country.
Dan Rollins: And just with the soft rock feed, something you’ve openly discussed for a number of quarters. Are you starting to see progress and tangible gains on actually discovering or finding economic soft rock that can brought into the Rosebel facility from the greater land package?
Gord Stothart: We’re seeing tangible gains all the time. And we continually get a positive pick up on the areas that we’re mining, even more so in the soft rock zone. We’ve being doing as you know -- you’ve been there, there is a number of pits and with some new geologic and interpretation, we are looking at the saddle zones between a number of the pits right now. And we’ve had some possible success there including additional soft rock resources at low striping ratios. Nothing published yet and we’re continuing to do that work. But on a forward looking basis that looks good. And then regionally, we continually evaluate targets in the region and in fact had a significant targeting exercise there last week, to look at other opportunities. We pull them in, we haven’t hit the big one yet, but we’re getting sort of ongoing targets that are helping, if you will, delay a little bit the hard rock ramp up.
Dan Rollins: Okay, perfect. And then may be, Steve, if you could touch basically, you mentioned in your closing comments, you’re going to run the Company on improving margins and at a lower gold price. Just given the significant amount of cash you have and given that you’re paying close to $43 million annually in interest payments, and that would have a significant impact on your free cash flow, and cash flow bases if that debt wasn’t there. Where do you stand on putting that cash to work, if you were to rank your priorities, is it on Brownfield opportunities; is it on new opportunities that aren’t in the Company or is it on actually reducing the debt to a level that you’re more comfortable with, just given the nature of the assets?
Steve Letwin: We’re driven by a rate of return. So, when the bonds are at $0.62 and the $1, which was a 21%, 23% after tax rate return on -- it would have been logical, if we could have retired some of the debt. With our improved results, these bond prices have moved much closer to part, and to retire the debt now at the much lower rate of return compared to what we’re seeing at our Brownfield operations. And I just returned from within West Africa. And we are seeing some very optimistic results from our Brownfield operations, both at Essakane and Rosebel. And you are seeing some very positive progress at Westwood. Sadiola, with the work, technical work that’s been done between Anglo and us, we’ve seen a material reduction in the CapEx that would be required to bring on that expansion, which would add net to us another nine years at about a 150,000 ounces, which has a very attractive rate of return, closer to 20% now. And so, I’d have to say, our focus would move away from retiring debt to our operations. And we’re very -- we’ve shown agility and flexibility, Dan, so these things as you know the volatility is phenomenal. Gold can go down as quickly as it can go up. So, we have to be prepared for that. And we’re opportunistic if it makes more sense to retire the debt and we will. If it makes more sense to invest in the Brownfield operations that we have, then we will do that as well. Right now, it looks like given our Brownfield exploration success, there are far greater rates of return in our operations and there is a retiring debt.
Operator: The next comes from David Haughton with CIBC. Please go ahead.
David Haughton: I’ve got a few questions on each of the operations if that’s alright.. Just as an overview, the kind of production you had for the quarter’s little off the run rate for the annual guidance. So, I just wanted to understand where you are tracking for the balance of the year. Just starting at Rosebel, good throughput there but the grade was somewhat lower than I would have expected. And just wondering where you are heading over the balance of the year on the grade profile. Would it get closer to the reserve grade moving up towards one? I know that you are not meant to get there for another year or so but, Gord, if you’ve got any comments on that?
Gord Stothart: Yes. You are completely right, David. We are expecting or we are planning to see a rebound in the head grades at Rosebel for the remainder of the year, saw a little bit of it even so far in April, and we are expecting production. Typically at Rosebel, and I’ll just put it out there again, Q2 because of the rainy season tends to be a challenge for us, but Q3 and Q4 always come on strong at Rosebel and we are developing into some new pit areas that we know have higher grades. So, I guess the short answer is yes. I don’t know if we will get all the way back up to one by the end of the year but we are headed in that direction.
David Haughton: So that would obviously have a favorable impact on your operating costs; you would have more ounces over the fixed cost base, so that should look quite fine going forward, especially given the devaluation of the currency that you mentioned notwithstanding the inflation.
Gord Stothart: Correct.
David Haughton: Okay. Going down to Essakane, the grade there was quite good, I mean1.2 grams, much better than I expected. And just wondering what you are looking for a catch up for the balance of the year there to get back on track with your guidance; is it more throughput-related or continued good grades, what’s the view?
Gord Stothart: Yes, grades for the remainder of the year there were more or less at where we have been for Q1. We do expect further throughput enhancements in the remainder of the year. We took a couple of major shutdowns in Q1 on a few of the lines; we’re doing a lot of work on optimization which will help pick us up. The commissioning of the intensive leach reactor in the second half of the year should provide a marginal increase in recoveries there. So, there is a number of things that will allow us to catch up and in fact on a year-to-date basis we’re pretty much on plan. So, I feel pretty comfortable there actually.
David Haughton: Okay, the strip in that first quarter was about 3.2 to 1, which is similar to what we’d seen during the course of last year. I was surprised though that there was 14 million capitalized. I thought this year was going to be a slightly higher strip year than what we’d seen last year. And seeing 14 million capitalized was bit higher than what I would have expected, I wonder if you have got some commentary there?
Gord Stothart: Yes. I mean, that’s really happening on the Essakane main zone where we are into the phase for stripping on the north end of the pit. And so while we are finishing off the bottom of phase two over the next couple of months, we will eventually get out of that and the stripping does come up. The capitalized stripping you are seeing really is the phase for north end of that Essakane. It does -- we do have little bit of swings roundabouts but we are pretty much on the phase positions we expected. So, the capital expenditures that we have year-to-date are for us as expected.
David Haughton: And then lastly over to Westwood, I saw on your slide 15 that you’ve still got quite a long life there beyond your reserves and even into the inferred. I know it’s still early days yet, but just thinking about your confidence of getting that conversion off the inferred through the mill through time, are you still confident that that’s applicable?
Gord Stothart: Definitely, and even more, there is still a lot of exploration upside there. A lot of -- as we talked about in January, a lot of the work we are doing on development over the next couple of years is to give access in areas, so that we can continue to convert the resources. It’s not joy every single hole. But we do continue to see a good rate of conversion very close to 100%, over time. We do have periods where it’s not as much, and we have periods where it goes more than that when we find additional stuff. The other thing we are finding is we are getting in and mining; we seized reasonably nice positive reconciliation on terms and grades, as we get into the actual stope mining, which obviously is very favorable for us. Always throw the caution out there; it’s not a large population of data that we are basing these comments; we need to continue to watch it overtime. I don’t want to over step my enthusiasm too much.
Operator: The next question comes from Anita Soni with Credit Suisse. Please go ahead.
Anita Soni: A couple of operational questions, just with regards to the ore, both at Rosebel and Essakane; there is a little bit more that was mined than was put through the mill. What’s going to happen to that; is that stockpiled; is it low grade material or will come through in the next few quarters?
Gord Stothart: No, it’s been stockpiled. We -- I think I mentioned it earlier, we pretty habitually get a positive tonnage reconciliation at Rosebel. And we do use that -- I believe the stuff that was mined in the first quarter would have been grade manage, so that the lower grade stuff is going on to stockpile and we continue to do it. I don’t see a lot of harvest of that additional stockpile material in the near-term, it’s -- that’s gone more to end of life stuff.
Anita Soni: All right. And so, what’s the level of those stockpiles right now on the grades?
Gord Stothart: Sorry, Anita, I don’t have that number handy.
Steve Letwin: We will get it for you.
Anita Soni: Sure. And then…
Gord Stothart: It’s somewhere in the MD&A, the number, the stockpile number is there at some place.
Anita Soni: Okay, I’ll look for it, and if I can’t find it, I’ll follow. The other question is with respect to the same material from an accounting perspective, is that capitalized?
Gord Stothart: Sorry?
Anita Soni: I am sorry, so the mining -- the cost of mine not material. Is that deducted as inventory, is that…?
Gord Stothart: Yes.
Anita Soni: Okay.
Gord Stothart: Yes, at mining cost. And then it comes back in when we do harvest. We might even -- reverse myself a little bit. We do from time to time in Q2 do some stockpile harvest just because of the rainy season. And when it comes back in, those mining costs then get entered into the cost profile at that point in time.
Anita Soni: Yes. And so, then, is it safe to say you guys are, in terms of your unit mining costs, sub about $2 at each operation on a…?
Gord Stothart: Not at Westwood but at the other ones, yes.
Anita Soni: Yes. So…
Gord Stothart: At the owner operated ones, so Sadiola is not sub 2 bucks. 
Operator: The next question comes from Adam Cleary with Cavenham Capital. Please go ahead.
Adam Cleary: I just had a question about the reinvestment requirements under the bond indenture, because obviously the sale of Niobec I think closed in January 2015 and 12 months later is January 2016, and I’m not sure that that’s being -- such investment is to get to those proceeds. How was that, what’s the basis for not -- that not being exercised and are we in the additional six months readout? Where are we with that or is that completely out of the picture?
Steve Letwin: Maybe Carol, you can address that. 
Carol Banducci: Absolutely, yes. In terms of the proceeds that we received for both Niobec and Diavik, we’ve allocated those funds under the indenture to meet their requirements. So, we have sent the cash on capital expenditures or we’ve actually committed to spend the cash on capital expenditures, following that 6 months window that you just referred to. We also settled some derivative liabilities and we prepared back our debt facility and we retired some capital lease obligations. So, when you add that all up, in fact we have met the spending requirement for satisfying the covenants. 
Adam Cleary: So, just to be clear, you’re fully compliant with the indenture and -- but you don’t expect any other beyond work that has been discussed, sort of major capital commitments to come even at 6 months?
Carol Banducci: That’s correct.
Operator: This concludes the question-and-answer session.
Steve Letwin: Okay. Thank you very much for calling in today.